Operator: Thank you for standing by, and welcome to the Equitable Holdings, Inc. Second Quarter Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. [Operator Instructions] I would now like to turn the call over to Erik Bass, Head of Investor Relations. Please go ahead, Erik.
Erik James Bass: Thank you. Good morning, and welcome to Equitable Holdings Second Quarter 2025 Earnings Call. Materials for today's call can be found on our website at ir.equitableholdings.com. Before we begin, I would like to note that some of the information we present today is forward-looking and subject to certain SEC rules and regulations regarding disclosure. Our results may differ materially from those expressed in or indicated by such forward-looking statements. Please refer to the safe harbor language on Slide 2 of our presentation for additional information. Joining me on today's call are Mark Pearson, President and Chief Executive Officer of Equitable Holdings; Robin Raju, our Chief Financial Officer; Nick Lane, President of Equitable Financial; Tom Simeone, AllianceBernstein's Chief Financial Officer; and Onur Erzan, Head of AllianceBernstein's Global Client Group and Private Wealth business. During this call, we will be discussing certain financial measures that are not based on generally accepted accounting principles, also known as non-GAAP measures. Reconciliations of these non-GAAP measures to the most directly comparable GAAP measures and related definitions may be found on the Investor Relations portion of our website and in our earnings release, slide presentation and financial supplement. I will now turn the call over to Mark.
Mark Pearson: Good morning, and thank you for joining today's call. This quarter marks the halfway point of our 5-year planning period. And we're pleased with the organic growth momentum across our businesses and the progress we've made on our strategic initiatives. In July, we closed our landmark Individual Life reinsurance transaction with RGA, which freed over $2 billion of capital and will significantly reduce future earnings volatility. Looking forward, we are excited about the growth prospects across our retirement asset management and wealth management businesses. And the flywheel benefits from our integrated business model position us well to be a long-term winner in each of these markets. Turning to Slide 3. Let me briefly cover our second quarter results. Non-GAAP operating earnings were $352 million or $1.10 per share down 23% year-over-year on a per share basis. Adjusting for notable items, non-GAAP operating EPS was $1.41, which is down 8% compared to the prior year. But the primary driver of the decline was elevated individual life mortality claims. In addition, fee-based earnings were pressured by lower average equity market levels during the second quarter. While results this quarter came in below expectations, we see several positive leading indicators that suggest growth will accelerate in the second half of the year. Our mortality exposure has been reduced by 75% and markets have had a strong recovery. Assets under management and administration at quarter end totaled a record $1.1 trillion, which is up 5% year-to-date and bodes well for future growth in spread and fee-based earnings. We also see healthy organic growth momentum, supported by our flywheel business model. Our Retirement businesses produced $1.9 billion of net inflows in the second quarter driven by strong wireless sales and $250 million of BlackRock, LifePath, Paycheck, net inflows. Wealth Management also had another very strong quarter with $2 billion of advisory net inflows and the trailing 12-month organic growth rate is 12%. We continue to see positive adviser recruiting trends and productivity increased 8% year-over-year. Turning to Asset Management. AB was not immune to the challenging market conditions in the second quarter and reported net outflows of $6.7 billion, which includes active net outflows of $4.8 billion. The outflows were concentrated in April and the business returned to a net inflow in June. AB also continues to grow its private markets business. with AUM up 20% year-over-year to $77 billion, and the total institutional pipeline increased to $22 billion, the highest level since 2022. Moving to capital. We returned $318 million to shareholders in the second quarter, which represents a 74% payout ratio above our 60% to 70% target. We are on track for $1.6 billion to $1.7 billion of organic cash generation in 2025, with over 50% coming from our asset and wealth management businesses. In addition, we expect to bring approximately $1 billion of additional insurance dividends to the holding company in the second half of 2025, following the close of the Individual Life reinsurance transaction. As Robin will discuss, we plan to execute at least $500 million of incremental share repurchases and repay some debt before year-end. We have already received regulatory approval for these dividends. Over the past few months, we have made significant progress executing against our strategic initiatives to reduce earnings volatility, improve our churn on capital and drive future growth. I've already highlighted the Life reinsurance transaction with RGA, which closed on July 31. In addition, in June, we completed the first internal reinsurance transaction to our Bermuda entity, as well as the majority of our policy innovation initiative. These actions enhance our financial flexibility and visibility into future cash flows from our insurance entities. Finally, you're seeing evidence of the flywheel synergies between Equitable and AB. A good example is the Ruby Re Sidecar investment which yielded a $1 billion private credit investment management agreement with RGA, including mandates for newer strategies that have recently been ceded by Equitable. This has helped to accelerate momentum in AB's insurance business, which has added 4 new insurance general account relationships year-to-date. Turning to Slide 4. I'll provide an update and performance against our 3 primary financial targets, which are to grow annual cash generation to $2 billion by 2027, deliver a 60% to 70% payout ratio and grow non-GAAP operating earnings per share 12% to 15% annually. As I mentioned, we are on track for $1.6 billion to $1.7 billion of organic cash generation in 2025, and we have a good line of sight into achieving our $2 billion target for 2027, even after reinsuring 75% of our in-force individual life block. Our cumulative payout ratio over the past 10 quarters is 68% at the upper end of our 60% to 70% target range. As a reminder, the $500 million of additional share repurchases following the Individual Life transaction is on top of this target. The one metric where we are slightly below plan is EPS growth as we have a 10-quarter average growth rate of 11% versus our 12% to 15% target. Year-to-date, non-GAAP operating EPS, excluding notable items, is down 5% due to elevated mortality claims. If the reinsurance transaction had been in effect starting January 1 and our mortality claims were reduced by 75%, non-GAAP operating EPS growth would have been 3% in the first half of the year. Looking forward, we expect EPS growth to accelerate given the recovering markets and benefit from incremental share repurchases. Turning to Slide 5. We highlight some of the key performance indicators for our business segments and the progress we have made against our Investor Day targets. I won't cover everything on this page, but want to call out a few items. Starting with retirement. We have delivered 5% organic growth year-to-date and 6% over the past 10 quarters. This has helped drive 13% annual growth in AUM, significantly ahead of plan. Not included in retirement net flows is our spread lending program. We have issued $3.4 billion of FABNs year-to-date and have approximately $9 billion outstanding. We expect to be a consistent issuer going forward, which will contribute to growth in future spread income. Turning to AB. While active net flows are modestly negative year-to-date, the base fee rate has remained relatively stable, and the business is on track for a 33% margin in 2025. This is up 410 basis points since 2022 and reflects the benefits from AB's office relocation strategy and the Bernstein Research JV. We have made significant progress in scaling our Wealth Management and AB Private Markets businesses. Wealth Management has delivered a 12% organic growth rate over the trailing 12 months, has grown AUA to $110 billion and is on track to exceed $200 million of annual earnings ahead of schedule. Private markets AUM has grown to $77 billion, up 20% over the past year, and we expect it to reach $90 billion to $100 billion by 2027. Finally, we are seeding future growth by developing new markets for both AB and Equitable. We continue to see in-plan annuities as a growth market, and we have a first-mover advantage through our relationships with AB, BlackRock and JPMorgan. Since launching the BlackRock, LifePath, Paycheck product in the second quarter of 2024, we have received over $800 million of inflows. We also expanded our institutional offering through a partnership with a leading HSA provider, which has yielded approximately $350 million of net inflows year-to-date. AB is making good progress in target growth areas like active ETFs and insurance mandates, which now have AUM of $8 billion and $48 billion, respectively. Moving to Slide 6. I want to reinforce the value created by our Individual Life reinsurance transaction and the benefits it will have for Equitable moving forward. By reinsuring 75% of our in-force Individual Life block on a pro rata basis, we have significantly reduced our exposure to future mortality claims and the associated volatility. This should enable us to deliver more predictable earnings. We are also generating over $2 billion of value through a positive ceding commission and the release of capital supporting the block. This represents a multiple of approximately 20x our lost earnings, a very attractive valuation. This free capital will be redeployed into higher return businesses and drive accretion for shareholders. We have already used $760 million to increase our ownership stake in AB from 62% to 69%, and we plan to execute $500 million of incremental share repurchases in the second half of 2025. We also expect to repay some debt. This leaves us with some remaining capacity for opportunistic growth investments or additional buybacks. I'm very excited about the road ahead for Equitable, and I'll now turn the call over to Robin to go through our financial results in more detail.
Robin Matthew Raju: Thanks, Mark. Turning to Slide 7. I will provide some more detail on our second quarter results. On a consolidated basis, non-GAAP operating earnings were $352 million or $1.10 per share, and we reported a GAAP net loss of $349 million. We had a few notable items in the quarter. Our alternative investment portfolio returned 6.3% in the quarter, modestly below our 8% to 12% long-term expectation, but in line with our guidance for the second quarter. In Protection Solutions, we had $74 million after tax of negative onetime items, driven primarily by the discovery of a third-party administrator issue that resulted in the late reporting of some COLI claims. We are confident that all outstanding claims have now been identified and that there won't be any impact in future quarters. We also identified a few other small items that were cleaned up ahead of the closing of the RGA transaction. Finally, in Corporate and Other, we had $16 million of notable items, primarily from one-off expenses related to a true-up of P-CAP issuance costs and an adjustment to the FABN currency hedges. After adjusting for these items, non-GAAP operating earnings per share would have been $447 million or $1.41 per share. Total assets under management and administration rose 8% year-over-year to $1.1 trillion. This bodes well for future earnings growth. Adjusted book value per share ex AOCI and with our AB ownership stake at market value was $40.89, up 11% year-over-year. In our view, this is a more meaningful number than reported book value per share ex AOCI, which reflects our AB holding at book value. Our adjusted debt-to-capital ratio with AB's ownership stake at market value was 23% in the quarter. On Slide 8, I'll provide some further details on our segment level earnings drivers. Starting with mortality, we again experienced a higher-than-expected level of larger claims in our Individual Life insurance block primarily concentrated in older age policyholders. Excluding the late reported COLI claims that I mentioned previously, mortality came in about $35 million after tax worse than our normal expectations. Moving to Individual Retirement. Earnings declined on a year-over-year basis, driven by a couple of factors that I'd like to dive deeper into. Fee-based revenues declined by 3%, reflecting lower average separate account balances due to outflows in our older GMxB block and the equity market decline through April. Fee-based products account for about half of our segment earnings and have a higher return on assets than spread products. Net interest margin, or NIM, was flat year-over-year as strong growth in net investment income was offset by higher interest credited. We attribute this to 3 dynamics. First, we are starting to see more of our very profitable older RILA segments mature. These policies were written at a time when competition was limited, and we could achieve margins well above our normal hurdle rates. While we continue to earn attractive 15% IRRs on new business, this is below the returns earned when we had the market largely to ourselves. Second, a component of interest credited is market value adjustments or MDAs, which are collected if a contract is early surrendered or the policyholders chain segments within their RILA contract. MDAs had been quite stable from the second half of 2022 through the first half of 2024, but they have declined in recent periods and were essentially 0 this quarter. This reduced year-over-year NIM growth by about 10%. We do not assume any benefit from MDAs in pricing and expected limited GAAP earnings contribution moving forward. Third, we have multiple product lines that drive individual retirement NIM, including RILAs and payout annuities as well as income from surplus. So this can create noise on a quarterly basis. When we update our financial reporting next quarter, we plan to provide additional disclosure to help you model NIM across our retirement businesses. The final drag on earnings has been higher commission expense which reflects strong sales volumes, particularly at Equitable Advisors, where not all payouts can be capitalized in DAC. This is ultimately a positive as we'll see higher earnings over time. But new business does not immediately start to contribute to GAAP profits. Looking forward, we view $220 million to $225 million as a good baseline for third quarter earnings for Individual Retirement, assuming normal markets and our current segment reporting methodology. Keep in mind that not all the benefit from the strong organic growth in Individual Retirement shows up within the segments earnings. Robust sales volumes benefit transactional revenues in Wealth Management and drive asset flows to AB. In addition, growth in our general account assets allows us to expand our spread lending program, which generates earnings that currently get allocated across all of our insurance segments. Turning to Group Retirement. Earnings declined sequentially due to lower average separate account balances in the second quarter, but the market rebound should lift third quarter results. AB reported a solid quarter from an earnings perspective and remains on track to achieve its full year margin target of 33%. AUM ended the second quarter at record levels, which should support growth in base fees and AB now expects full year performance fees of $110 million to $130 million, up from our prior forecast of $90 million to $105 million. Finally, wealth management had a very strong quarter with earnings up 16% year-over-year. We expect this momentum to continue given robust net new asset growth and supportive equity markets. Across our businesses, we expect earnings to improve in the second half of the year given record AUM levels, higher investment portfolio yields, benefits from expense actions and reduced mortality exposure. Turning to Slide 9. We executed on several important capital management initiatives during the quarter, which will support growth and enhanced visibility into future cash flows. As Mark previously discussed, we are thrilled to have closed the Life reinsurance transaction with RGA, which we expect will reduce earnings volatility and will enhance returns on capital and be accretive to earnings and cash flow per share. In June, we also completed the first transaction with our Bermuda entity reinsuring approximately $30 billion of group annuity contracts. While this transaction does not impact our view of excess capital, it enhances our visibility into future cash generation and our ability to upstream excess surplus on a consistent basis. This is because of a better alignment between the Bermuda framework and how we economically hedge our annuity book. Looking ahead, having a Bermuda entity provides another tool in our capital management toolkit, and we'll be opportunistic in utilizing it. This could include seeding additional blocks of in-force business seeding new business on a flow basis or even reinsuring third-party business. Finally, we've completed the first wave of policy innovations. Moving a portion of our reinsured legacy VA policies to Venerable and a portion of internally reinsured policies from New York to Arizona. By novating these policies, we reduce counterparty risk. Simplify our statutory accounting and increase future financial flexibility. These strategic initiatives support Equitable's consistent capital management program, which is highlighted on Slide 10. During the quarter, we returned $318 million to shareholders including $236 million of share repurchases. The payout ratio was 74% of earnings, excluding notable items in the quarter, above our 60% to 70% guidance range. Over the past year, we have reduced our share count by approximately 6%, helping us drive growth in earnings per share. We currently have about $800 million of cash at the holding company above our $500 million minimum target. During the quarter, we spent approximately $760 million to purchase additional AB units and $283 million to retire our standing Series B preferred stock. During the second half of the year, we expect to upstream $1.7 billion of excess surplus from our insurance subsidiaries to the holding company, which include both organic cash generation and a portion of proceeds from the Life reinsurance transaction. We have received regulatory approval for any required extraordinary dividends. Following the Life reinsurance transaction and these planned dividends, we will have a pro forma combined NAIC RBC ratio of over 500% above our 400% minimum target. This puts the enterprise in a strong capital position and provides capacity to fund growth and meet our payout ratio targets even during periods of market volatility. We plan to execute at least $500 million of incremental share repurchases in the second half of 2025, and we will also look to pay down some outstanding debt to manage our leverage ratio and maintain flexibility. We will be opportunistic in redeploying the remaining transaction proceeds in a timely manner to support growth and drive shareholder value. Now let me turn the call back over to Mark. Mark?
Mark Pearson: Thanks, Robin. Looking forward, Equitable is well positioned to capitalize on the growth opportunities across retirement, asset management and wealth management, helped by the flywheel benefits of our integrated business model. We have strong organic growth momentum and the Individual Life reinsurance transaction will reduce the earnings volatility that has weighed on our year- to-date results. We also have a robust balance sheet and significant freed capital to redeploy, which will be accretive to earnings per share. As a result, we expect EPS growth to accelerate in the second half of 2025 and we remain confident about achieving our 2027 financial targets. We will now open the line for your questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] And your first question comes from the line of Ryan Krueger with KBW.
Ryan Joel Krueger: Robin, thank you for the more color on the earnings in Individual Retirement. I guess the question is, you gave us the baseline earnings for the third quarter. But how should we think about the growth in earnings beyond that? I guess you do have -- you have good growth momentum in the business, but it does seem like the earnings, I assume, will continue to grow less than an account value just given the dynamics you mentioned on runoff of higher margin legacy RILA business as well as some of the mix shift between variable annuities and RILA. So I don't know if you can give us any more context, but just trying to think about the growth off of that third quarter starting point.
Robin Matthew Raju: Okay, Ryan. Yes, let me just break it down in a few components, what happened now in this current quarter and then how should we think about it going forward. So we view approximately 220 to 225 as a reasonable baseline for the third quarter. As you noted and I noted on the call, results came in lower from the few components: one, fee-based products, in our historical closing rate VA, which is more linked to the separate account. Markets were lower in April, which was below our expectations, which is about 2% for a quarter. But that should help us going forward. So that's going to support the $220 million to $225 million guidance that I gave -- given the equity market rebound. Reported NIM was flat year-over-year as strong growth in net investment income was offset by interest credited. As we talked about previously, a big piece of that is market value adjustments. These bounce around quarter-to-quarter. It's been about $10 million pretax recently, but was 0 this quarter. So that obviously has an impact. We don't predict much of that going forward, but that could sway results on the positive side if that bounces back as well. I would view NIM spreads have somewhat stabilized and will continue to stabilize this year as we see the runoff from our very profitable book when we own the market to ourselves where margins have more stabilized at a 15% IRR. So you can assume that to flatten out this year and probably for the next 9 to 12 months, we're going to see that shift. So the NIM rate should be consistent going forward. But the business momentum remains strong, as we mentioned in the call. And going forward we do expect the general account to grow, which benefits the other parts of our flywheel, including AB AUM, wealth management fees and then also our spread lending capability, which will all benefit us going forward.
Ryan Joel Krueger: One related follow-up. I don't know if you have something approximate not looking for anything exact, but -- how much of your in- force RILA would you say is more of the older business when you had excess returns compared to business that's probably more in line with your pricing targets now?
Robin Matthew Raju: Yes. It's about -- the in-force, and I would put that like pre-2020, it's about 15% of the total account value and that's very good, very high margins because we're the only ones in the market at that time. So as more people have come in, those margins have stabilized. But -- so it's not a huge shift. That's why we think over the next - over the next few quarters, that should stabilize and that will come off.
Operator: And your next question comes from the line of Suneet Kamath with Capri.
Suneet Laxman L. Kamath: Robin, I want to come back to the spreads in IRR. It sounds like you're saying that, that should sort of stabilize or flatten out here. Is there any sensitivity to that outlook if the Fed starts -- or if and when the Fed starts cutting rates?
Robin Matthew Raju: No, because it's not -- for RILA products specifically, Suneet, it's not only the short-term rates. It's really looking at, I would say, closer something to the 10-year treasury. And then also, we're looking at volatility and we're looking at corporate spreads. So those are the 3 drivers of our RILA profitability, which we used to price products. So we're matching our pricing depending on the movements to that 15% IRR. So we're less sensitive to those movements and more focused on making sure our pricing meets that hurdle rate.
Suneet Laxman L. Kamath: That makes sense. And then I guess, sticking with IRR and RILA, how do the economics of the products that you sell through the Wealth Management business compared to the products that you sell through third parties. I'm assuming it's sort of a level commission. So that's not the difference, but there's probably other factors that we should think about in terms of the profitability. Can you just kind of talk about that?
Robin Matthew Raju: Well, perfect. I'll ask Nick to jump in and talk about the growth that we're seeing within that segment. But within our Wealth Management franchise, those are where we're closer to the client, and we see better persistency, and we do see higher margins as a result of that when we sell any of our products through our Wealth Management business. That's why owning and having affiliated distribution is a differentiator for Equitable and a key part of our flywheel going forward. And Nick, do you want to add on some of the growth we're seeing on the wealth management side?
Nicholas Burritt Lane: Sure. As Mark and Robin highlighted, Equitable -- RILA sales were up 9% year-over-year. This was another record high with a total of $1.7 billion of net flows. We continue to believe that to be a sustainable success story, you need to generate attractive yields, have distribution which generates lower cost liabilities. This is both Equitable Advisors and third-party partners that have a more curated share of products on the shelf and scale. And we think Equitable has that flywheel benefit. So we're a sustainable success story in the business.
Operator: And your next question comes from the line of Tom Gallagher with Evercore ISI.
Thomas George Gallagher: Question on capital management and what you're thinking there. I guess after your extraordinary dividends, you're still going to have a 500% pro forma RBC. Would the baseline plan be to take out another extraordinary dividend next year on -- so you would end up doing more buybacks in 2026 than you would normally generate. It sounds like you're going to do some debt paydown as well. But how are you thinking about kind of the cadence of getting some of this excess capital out from the RGA deal. And of that $1 billion that I guess, wasn't deployed into an increased AB stake ballpark would the vast majority of that likely go into buyback today? Or are you still deciding between debt paydown and share repurchase?
Robin Matthew Raju: I think you had a few questions there, so I'll take, all good questions. So we're thrilled, as I said on the call, to close this RGA transaction. More importantly, the strategic value of this transaction as it really cements us into the flywheel of asset retirement and wealth management and also recognizing we're not a differentiator in owning mortality -- mortality risk. So for us, this is a very strategic transaction. We're benefiting from unlocking $2 billion of value and reduced mortality exposure going forward. As you mentioned, we've invested $750 million in AllianceBernstein. That increases our stake to 59%. And we're also committed to doing $500 million of share buybacks in the second half of the year. That's going to be one of the pieces that helps EPS growth on the second half as well. That's going to be above the 60% to 70% payout. And with the $1 billion remaining, I would split it in one piece for certain, as the transaction becomes effect in the third quarter, we'll have a loss on the GAAP side related to the assets that move but also with the purchase of AllianceBernstein units that's held at book value. So that combined puts an impact on the equity in the company. So as a result, we do want to reduce debt to make sure our leverage ratios are in line with the rating agencies would expect. I would think about that anywhere up to $500 million because it will be a tender offer that we would likely do in the second half of the year depending on markets. And then with the remaining $500 million we're as always, we look for bolt-on opportunities within the wealth side, across equitable and AV. We always look at sidecars and then we'll certainly look at it additional share buybacks as we need to drive accretion because of where we trade today as well. As the -- I think the first part of your question on future capital deployment, you have to post the transaction, post the extraordinary dividend and the ordinary dividend of $1.7 billion out of the insurance company. The RBC ratio of the combined entities is above 500%. So the capital ratios at the subs are very robust at this time. We don't have any plans to take out any other dividends from the insurance companies this year. And then next year, we'll look at where the ratios are and the organic cash generation and we'll look to upstream next year and then the following year in order to meet our $2 billion cash flow guidance, which come both from the insurance company and 50% from asset and wealth.
Operator: Your next question comes from the line of Elyse Greenspan with Wells Fargo.
Elyse Beth Greenspan: Putting together, I guess, Robin, a lot of the comments that you gave, right? You guys said EPS growth should pick up in the back half. And then obviously, it takes time, right, for the full credit right for repurchase to work in as well as business growth, et cetera. So with how you see things, I guess, would you expect, I guess, the second half to be better than the first half but I guess, below the 12% to 15% target for EPS and then we get back there in 2026. Is that kind of the right way to think about it when you think about the moving pieces?
Robin Matthew Raju: Yes, I think that's right. I think, look, we -- with the tailwinds behind our business, the growth momentum, higher equity markets, reduced mortality exposure and additional share buybacks. EPS growth will certainly improve in the second half, and we'd expect to be back on track for the 12% to 15% in 2026 and then obviously, towards 2027 to achieve our commitments. We also have levers in place if the market doesn't continue to participate well. So we have expense actions that we can take. We also have investment actions that we continue to execute on. We're about $15 billion through our $20 billion commitment in the private credit build at AB. That's helped AB grow that business at $77 billion, and we're getting good investment income off of that as well. So I think where we're positioned today, we see good growth coming in the second half and then going forward, but we also have levers in place in case things don't materialize as we expect.
Elyse Beth Greenspan: And then I was hoping just to get some incremental color just on wireless sales in the quarter as well as just what you're seeing from a competitive and just market standpoint?
Nicholas Burritt Lane: Yes, thanks. Obviously, the competitive dynamics have changed since we pioneered the product over a decade ago. With that said, year-to-date, we haven't seen any material change in the relative competitive intensity. We continue to see strong demand and growth driven by the demographics. The baby boomers moving to their next chapter of their lives heightened by this current state of, I would say, macro uncertainty. I alluded to our strong sales already in the quarter, up 9%. We're very mindful of competitive trends on pricing. As we've mentioned, when we see new entrants enter. They tend to have a period of aggressive pricing. We've seen this before, and it tends to be temporary. We focus on value versus pure volume. And as the market leader, we've continued to benefit from the growing pie. I would highlight over the last 3 years, our sales have more than doubled over that period. So we believe looking forward, we're in a privileged position to capture a disproportionate share of the value given our asset origination capability, our distribution network and our scale.
Operator: And your next question comes from the line of Jimmy Bhullar with JPMorgan.
Jamminder Singh Bhullar: So first, just a question for Robin on the buybacks. The -- I think the $500 million extra that you've communicated, are you going to be opportunistic in terms of timing of that, depending on how the stock price behaves or should we assume that that's going to be more flat lined?
Robin Matthew Raju: Thanks, Jimmy. Yes, we're going to start the $500 million on top of our committed 60% to 70% in the third quarter. We'll run that through based on the trading volume that is. And obviously, that gives us a lot of good dry powder to be opportunistic depending on the share price as well. So you should expect us to be active in the market.
Jamminder Singh Bhullar: And then on the -- you certainly have the ability to do more. Obviously, you have to reduce debt as well given the lower earnings base with the reinsurance transaction. But the -- what is it that you -- or you mentioned maybe potential tuck-in deals or other uses of capital besides debt reduction. Like have you already earmarked something for potential acquisitions? Or is it more that if you don't find anything, then maybe the $500 million more likely than not will be increased over time?
Robin Matthew Raju: Jimmy, first, we have to get through the $500 million because that's on top of the 60% to 70% payout. So there's -- shares that we have available to us to buy back. So that's going to take time. So expect us to deploy the remaining proceeds by 2026, and it will be in a combination of share buybacks and if something becomes available to us, that's accretive for the wealth management businesses and Equitable or ED or Sidecar that aligned to our strategy to grow insurance, third-party insurance mandates. Those are the things that we look at as well. But we have to get through the first portion first, and then that gives us options going forward. But anything that we do will have to drive shareholder value.
Mark Pearson: Jimmy, it's Mark. If I could just add to that. I think and I hope, as you've seen over the years, we will be incredibly disciplined. The fact that we've got the money does not burn a hole in our pockets. We will be very disciplined in anything we look at. And to Robin's point, we know we have to beat the baseline of the value that would be accretive to shareholders through a share buyback. So that provides a healthy discipline for us.
Operator: And your next question comes from the line of Jack Matten with BMO Capital Markets.
Jack Matten: Just a follow-up on the individual retirement business. How much longer do you expect that RILA roll-off dynamics to continue. Is it fair to say it's mostly behind us now? Or is there just a little bit more to come over the next few quarters? And then on the earnings baseline for next quarter, just confirming that assumes no market value adjustments and that would, I guess, be less favorable compared to your kind of historical average experience?
Robin Matthew Raju: Sure. I expect this the older business to run off definitely over the next few quarters still. And then I also -- we also do not assume any MBA in the $220 million to $225 million that I provided during the call. But we should still see this dynamic. As I mentioned, it's about 15% of the book pre-2020 that's still there. So that dynamic is going to run off over the next few quarters. So that will still occur. But we still have underlying good growth momentum, as Nick highlighted, and that should come through in earnings.
Mark Pearson: Got it. And then maybe just one on the Bermuda entity. I guess, are the benefits from that entity material enough that there could eventually be a step change higher in the cash conversion or payout ratio that you would expect longer term then any thoughts on the timing for additional transactions, particularly around potential third-party transactions with that entity?
Robin Matthew Raju: First off, we really like the Bermuda system because it really allows us to manage economically. As you know, we're unique here, and we have an economic approach on how we manage liabilities and how we hedge. The Bermuda framework allows us to fully manage on an economic basis. It means we won't have volatility in any results related to our hedging program, and that gives us consistency of cash flow going forward, which is good for shareholders. So it's really about more consistency in cash flow and managing economically as the framework allows us to again. We just closed the first transaction on June. So there's still a lot more to be done. As I mentioned on the call, we'll look at flow reinsurance on new business. We'll look at other internal measures in '26 and '27. We'll execute again those. And then it gives us optionality post 2027 and later on if we want to look at third party as well.
Operator: And your next question comes from the line of Michael Ward with UBS. Let's go proceed to the next question. Our next question comes from the line of Cave Montazeri with Deutsche Bank.
Cave Mohaghegh Montazeri: I apologize. I think I missed Jack's question. Hopefully, it's not the same question I'm about to ask. But on this $30 billion of annuities reinsured to Bermuda, are you able to give us a bit of an estimate of the capital benefits from that transaction? Maybe not an exact number, but some kind of a range would be helpful.
Robin Matthew Raju: Sure. As I mentioned, we don't view it as like an excess capital materialization because nothing changed in our economic capital for moving to Bermuda. It's more about having consistency of cash flows going forward. The capital benefits that we're going to get throughout the year is going to be coming from the RGA transaction, which, as we mentioned, unlocks $2 billion of value for us. And post dividends allowed us to run the company at a 500% RBC post all the dividends. So that's what puts us in a good capital position. And now the Bermuda transaction gives us the consistency of the cash flow on an economic framework going forward.
Cave Mohaghegh Montazeri: Okay. So there's no actual benefit from that transaction specifically then like internal lower capital requirement in Bermuda for that type of product?
Robin Matthew Raju: Yes, the benefit is the consistency of cash flow aligning to our economic hedging program.
Cave Mohaghegh Montazeri: Okay. And now second question is on technology. Which part of your business I guess, could benefit most from the implementation of GenAI? And do you think it's more about improving efficiencies? Or can it also help you drive growth.
Nicholas Burritt Lane: Great. Thanks for the question. Obviously, AI is rapidly evolving and being adopted in the space out there. We built the foundation, given that we're in a regulated space that allows us to seek seed and scale the benefits. Primarily in the last phase, we've seen it on the operational side, relative to doing mundane tax -- task, and we continue to explore the potential to use it for value-added services such as how we produce alpha or our advice model. our conviction is that AI is not going to replace advisors out there. but people that use AI are going to replace people that don't. So we see the potential to continue to explore and accelerate in this space.
Operator: And your next question comes from the line of Mark Hughes with Truist Securities.
Mark Douglas Hughes: Not a big impact, but the surrenders in Group Retirement were a little lower than we've been seeing over the last several quarters. Anything in particular you'd call out there?
Robin Matthew Raju: Sure. Mark, we've seen lower surrenders in the quarter. I think some of it has to do with the equity market decline in April, people are a bit more steady with their money. But we also have actions in place across our businesses to retain more clients as we continue to provide holistic advice for them. But nothing really to call out that's material there.
Mark Douglas Hughes: Yes. Understood. And then on the RILA side of the business, I saw LIMRA for what it's worth, was saying they expect continued expansion of more broker dealers are offering these products. When you think about your distribution through those third parties, you've had a lot of success with BlackRock and elsewhere. But just as a kind of a general matter of the adoption of RILAs across the financial services space. Anything you've seen different lately?
Nicholas Burritt Lane: Yes, I'd comment on that. Look, net-net, I think as the demand has continued to grow given the value proposition of the protected equity story. We are seeing greater adviser awareness and consumer interest for the product, which is increasing the overall pie itself. Having been the pioneer in this market 10 years ago, we were able to secure what I would say, privileged distribution where the product aligns with the investment philosophy of the third-party firms for how they need a consumer's best interest.
Operator: And your next question comes from the line of Wilma Burdis with Raymond James.
Wilma Carter Jackson Burdis: The stock is off a little bit this morning. But when I look at the core '25 segment results, they're really on top of my underlying EPS model estimates. Most of the noise really seems to be related to the deal. Do you agree? Should we start to see more consistent results with the deal close? I know you've touched on that, but -- and is there any additional noise to come through in 3Q?
Robin Matthew Raju: Yes, no, I expect the results to be stable going forward. Obviously, we essentially decreased by 75%, the most volatile part that we've seen in our results previously. So going forward, we expect strong results, again, coming from better equity markets, lower mortality exposure and then the incremental share buybacks of $500 million above the 60% to 70% payout ratio.
Wilma Carter Jackson Burdis: And could you give a little bit more color on the FABN program? Some competitors have highlighted drag from high volumes of FABN as they've been waiting to deploy the assets at higher spreads. Is this something that's impacting equitable -- or has the company already been able to invest the proceeds and if it is an impact, is there something we should think of on spread uplift?
Robin Matthew Raju: Sure. We've been accessing the FABN market as an issuer since 2020. I think it's one, again, the benefits of having an in-house asset manager in AllianceBernstein that has that origination capability that we can continue to issue FABN and achieve attractive IRRs similar to our retail business above 15%. We've achieved $3.4 billion year-to-date. We have $9 billion outstanding, and the AV team does a great job of putting that money to work to ensure that we get the yields that we price for.
Operator: And your next question comes from the line of Michael Ward with UBS.
Michael Augustus Ward: So just another one on RILAs. So I'm curious, how do you see this level of sales? Are you comfortable with this level of sales growth given the market is more mature? Do you think it might be a little bit more lumpy? Or is this -- is this -- because you don't sound too concerned about it, right? And just curious also how you innovate on the product side.
Nicholas Burritt Lane: Sure. We believe the pie is going to continue to grow given the structural forces that we highlighted as referenced, annuities are still only 10% over the broader retirement market. So we see upside associated with that. Your second question on innovation. We think about innovation both to extend the edge of our core businesses as well as open up new markets. We are pioneer in the launch of the RILA market or going back longer in variable annuities. Recently, our partnership with BlackRock and in-plan annuities or our pooled employer program. So I think Equitable's -- one of Equitable's Edge is our customer-led innovation, and that's where Equitable Advisors gives us a slight edge because we get real-time feedback of emerging client and adviser needs, allowing us to create new value propositions and offers.
Mark Pearson: Michael, it's Mark. If I can just sort of take the strategic view. I mean it is a very attractive market. That's why a lot of competitors are going in. If you look at the basic demographics in there, 4 million Americans turn 65 million this year, and we'll do next year as well. There's something like $600 billion of flows coming out of 401(k) market. So the core drivers behind the retirement and RILA market are very, very positive. And then just echoing what Nick said, our position being in both advice and product manufacturing and in asset management is really, really an equitable strength. So good market, good business model. We remain very positive about it.
Michael Augustus Ward: Okay. And then just I had one on wealth. Strong result there again. Just curious how you see the growth pipeline there and if there's any uptick in the competition on the inorganic side?
Nicholas Burritt Lane: Yes. Thank you. We see a strong demand for advice. I'm sure you saw the recent Mackenzie study that stayed at 80% of affluent households would pay a premium for a human advice. And as Mark alluded to, as baby boomers move to the next phase, there's $600 billion coming out of 401(k)s annually. Equitable Advisors, we're very pleased that our value proposition is resonating with clients and advisers. As demonstrated by our strong advisory flows, $2 billion net flows in the quarter and a 12% organic growth rate on a trailing 12-month basis. When I think about -- looking forward, we're very encouraged by the underlying growth drivers, the 8% improvement in productivity as well as improvement of headcount. And I think underlying that is our people, our planning and our platform. On the people standpoint, we -- to your question, we've got a distinct model where we bring in new talent into the industry and then use EXP's as a force multiplier. Our average age is 48 in an industry that's grayed out, so 10 years younger, which gives us a pipeline and allows us to be disciplined in the EXP hiring space. So given the foundational organic drivers, we're very confident in the future growth of that segment.
Operator: There is no further question at this time. And that concludes today's call. Thank you all for joining. You may now disconnect.